Operator: Welcome Seacoast Third Quarter Earnings Conference Call. My name is Hilda and I will be your operator for today. (Operator Instructions). And I will now turn the call over to Dennis Hudson. Mr. Hudson, you may begin.
Dennis Hudson: Thank you very much and welcome to our third quarter Seacoast Conference Call for third quarter earnings. Before we begin, as always we direct your attention to the statement contained at the end of our press release regarding the forward statements we may be making today during this call. Some of the issues we will be discussing constitute forward-looking statements within the meaning of the Securities and Exchange Act and accordingly our comments are intended to be covered by the meaning of Section 27A of the Act. With me today is Chuck Cross, who heads up our Commercial Business Banking Line. Also here is Bill Hahl our CFO and David Houdeshell, our Chief Credit Officer. I think the headline this quarter continues to be one of the growing momentum. Our revenue growth continue to improve this quarter as the strategic investments we have been making continued to pay-off. Loan pipelines remain strong as long growth continued to improve this quarter. Our customer growth rates also continued to improve and they remained at some of the highest levels we’ve seen as our execution in the field produced even better results. I think perhaps one of the best ways to demonstrate our success would be to take a look at our total revenue which on a linked quarter basis has been in the double digits over the past couple of quarters. In short I think the investments we have been making are now driving better results and are permitting us to take advantage of an economic environment here in Florida that is now clearly growing. Our expectations are for these trends to continue as our teams improve execution and build out more momentum. I will hit a few highlights for the quarter and then we can open up the call for some questions. We had posted slides on our website seacoastbanking.com which can be found under presentation. Starting at the top, earnings for the quarter totaled $0.12 per share which was up over the 7% earned in the second quarter. When adjusted for one timers primarily a merger related cost adjusted net income for the quarter was 3.1 million or $0.13 per share. Our adjusted pretax pre-provision earning were up 14% over the second quarter and this was even higher than the 12% quarter-over-quarter or linked quarter growth that we saw in adjusted pre-tax pre-provision earnings we achieved in the second quarter. So we believe the momentum is clearly evident and we expect as I said earlier for these trends to continue. Driving this improvement for the quarter and for the last quarter as well were much higher levels of loan production resulting in higher loan growth. Loan growth was up around 10% annualized for the quarter as well as improved growth in our low cost funding. For the quarter our average non-interest bearing deposits were up 15% for the year. Overall deposit growth was up 6.5% for the year. Much of the growth in our non-interest bearing deposits reflected our success in attracting commercial and small business customers both through our Accelerate channel and in our branch system. In fact our DDA mix has improved from 27% to 29% of deposits over the past year and was 31% on a pro forma basis giving effect for The BANKshares acquisition which closed on October 1. Our total cost of deposit stay is only 12 basis points. An impressive number reflective of the rich deposit base we enjoy today and one that grows even more valuable with The BANKshares acquisition that just closed. For the second quarter in a row our improved loan growth drove much better growth and net interest income as well as a modest expansion in margin which we expect to continue over the next few quarters. In addition, as we pick up the BANKshares loan portfolio we expect to see our margin expand further which we estimate will be approximately 3.40% in the next quarter this compares of course with the 3.17 we posted in the current quarter. Our non-interest items this quarter came in pretty well as we expected. Non-interest income grew by more than 4% when compared with the prior quarter, quarter two with wealth management fees and service charges on deposit leading the way. Our core operating expenses continued to fall expressed as a percentage revenue and assets inspite of higher commissions and fees paid this quarter related primarily to increased mortgage lending and wealth sales [ph] as you’ve heard earlier. As we previously announced, the BANKshares acquisition closed on October 1st and the systems integration was completed over this past weekend, the weekend of October 24. We believe the integration work was close to flawless and our service levels have been well managed thanks to our combined team members in both organizations and several months of targeted training and preparation. As you know systems conversions today are more complex than they were a few years back given the numerous ancillary systems that our customers particularly our business customers have come to depend on. These of course include mobile banking and other digital services that we have been investing in over the past year or two. So we’re quite pleased with the integration work and I want to particularly thank our combined team members in Orlando and on the Central East Coast for working hard to make this a win for our customers. Thanks also to our project team for supporting our team in the field and helping to make this a smooth and well-executed transition. We’re excited to welcome our new customers and our new team members; we have been impressed with the momentum our new team members have already started to produce with new lending opportunities and new relationships across the market they serve. The combination that just closed creates a $3 billion bank [ph] increases are our customer household base quite significantly and they are growing in Central Florida markets and when combined with our previously announced cost schedule to be completed late in the fourth quarter produces substantial improvement and our overhead ratios and significant margin accretion. Moreover we expect to meet or exceed our previously disclosed earnings accretion target for 2015 as well as our estimated tangible book-value earn back of less than three years. So in short I would say the acquisition has closed and we have had a great integration this past weekend and we’re looking to hit all of the numbers we have previously talked about. So now I'm going to turn the call back over after these brief comments to our operator who can then open the floor for few questions this morning.
Operator: (Operator Instructions). Our first question comes from Michael Rose from Raymond James.
Michael Rose - Raymond James: Just want to get a sense now that the BANKshares acquisition has closed, I know it just closed, but we have seen a couple of deals here more recently in Florida. Just wanted to kind of gauge your appetite for additional deals and then also maybe how you think about what appears to be nice excess capital levels and maybe deploying that either through buybacks and dividends. Any thoughts there that would be helpful. Thanks.
Dennis Hudson: Well Michael our current focus as you know is completing the integration work and yielding the cost outs all of which converts this quarter. To remind everybody we had a cost outs on the legacy SECO [ph] side I believe that we’re 1.8 million and we have cost outs related to the acquisition as well that we’re working on this quarter. Those yield much better as I said in the comments bring us -- bring down our overhead ratios pretty meaningfully as we get to past year end and that’s what we’re focused on now. I think as we look ahead at other opportunities there is certainly something we look at but we’re currently focused on improving our earnings metrics as we approach the first quarter I would say. Looking ahead a little deeper in next year as we have better earnings performance, we certainly would be on the lookout for opportunities out there. I think we do have a very strong capital position as you point out particularly after we get to the work that I just described where there is much better earnings in 2015 and like it opens up opportunities for us.
Michael Rose - Raymond James: And then just as a follow-up, I appreciate the color on the margin for next quarter, for the fourth quarter. Should we think about further upward trajectory, however though as you improve your earning asset mix obviously you’re growing loans a little bit more quickly which is good to see but should we expect continued upward even if it's modest momentum from the earning asset mix shift, offsetting the pressures the little -- it will be in a low rate environment.
Dennis Hudson: I think the answer to that depends on how successful we’re with our loan growth, I think the upper would you agree, Bill, the upward pressure, our push on margin will be modest?
Bill Hahl: Yes. Very much.
Dennis Hudson: I think it's more a the increase in net interest income would come through the loan production. We’re not counting on rate increases, as you know we’re asset sensitive pretty nicely so that would help. But short of that we don’t see significant growth in margin percentage but we do see nice growth in net interest income. The last couple of quarters we have had meaningful growth in net interest income and that’s been driven by the loan production and the loan growth that we have had. We expect that kind of trend to continue as we look ahead in the next quarter or two for sure. Loan pipelines in the release as you saw remain very strong and if anything we will be strengthen we think. What's driving that? Maybe turn it over to Chuck Cross for a few comments on how we’re producing this loan growth. Chuck?
Chuck Cross: Our focus on commercial banking in the last couple of years has put us in position to be there as you said earlier the Florida economy is improving and we’re just seeing a lot more company's decide that it's time to invest in their business and grow and we’re taking advantage of that. So the migration of people and the new construction it is really helping the economy and growing our loans.
Operator: The next question comes from Stephen Scouten from Sandler O'Neill.
Stephen Scouten - Sandler O'Neill & Partners: If you could dig a little bit deeper into the loan growth that you’re seeing, maybe two things I had a question on is if you can break it out all the percentage of the growth that’s coming from the Accelerate initiative versus maybe your legacy efforts and then kind of what you’re seeing new loan yields come on at, it looked like maybe about a nine basis point decline in average loan yields quarter-over-quarter.
Dennis Hudson: Yes, Chuck, you want to start? Maybe just talk about I don’t know that we have disclosed the exact percentage but I think it will be fair to say significant percentage is coming out of Accelerate project right?
Chuck Cross: Yes, I would real rough number 75% to 80% is coming from the new markets we entered two years in South Florida which is Palm Beach and Brevard County in the Orlando area.
Dennis Hudson: Right, and I think we expect those trends to continue with the acquisition that we closed this month. We pick-up a significant increase in our capacity to do more in the very exciting Orlando market plus we have got some great guys that have joined us in as a result of that acquisition over on the coast to the east of Orlando. So you add the two together, these are guys that have been in the market both in Orlando and on the coast for many, many years. They are well respected and we certainly look forward to continuing to work with those folks to drive even better loan growth as we look ahead over the next quarter or two. In terms of the margin or the yield on loans, it's a tough environment out there and we’re looking for quality loans and as a result that’s a tough yield environment but we just continue to slug through.
Stephen Scouten - Sandler O'Neill & Partners: Okay and then maybe one question on expenses, I know you’ve have the 1.8 coming through from the legacy bank in 4Q but I think there was if I remember about 1.9 million that were realized late in 2Q and can you tell me what was the impact within expenses of that carryover and I guess I was expecting to see expenses down even apart from the strong loan growths of maybe you could give some color there.
Bill Hahl: I would say that we continue to do make investments during the second quarter as well as and that also impacted into the third quarter as we added additional FTEs to continue the strong loan growth and other areas as well the wealth management etcetera, so that had an impact and then the better performance that we had in the third quarter on the wealth side added some commissions as well as mortgage banking production was stronger in the third quarter, so far our best quarter and so there was much of that production was -- about 50% was retained in the portfolio. So we saw that and then on the retail side we also had some better performance in that area and that led to some higher levels of incentives and alike in the third quarter.
Dennis Hudson: One thing we’re seeing on the community bank side or the retail side of the organization is much stronger performance in terms of acquiring new business relationships with real focus on small business lending and that’s beginning to emerge as well as the strong growth you saw on the commercial side which is primarily driving the loan growth results that we have here and so we’re really seeing kind of a lift across the board and improve production across the board which drove little bit of catch up you might say in some of the incentive payments in the third quarter.
Stephen Scouten - Sandler O'Neill & Partners: Okay and that makes sense, and is there -- I mean just one last question is there a specific efficiency ratio target you guys are trying to reach and is there a timeline internally that you’re really saying, hey here is the number we feel like we need or want to get and here is the time line we think we can do that in.
Dennis Hudson: If you -- we have not published anything with respect to that. If you look at some of the estimates on it you can see that we are headed towards pretty significant reduction and efficiency ratio particularly in the first quarter and it's a result of the additional legacy cost out as we said earlier as well as the cost outs related to the combination of the two company. It's material and it's significant and I would say feel pretty comfortable with the range of estimates that are out there on us in terms of overhead ratio. We could beat those numbers with improved revenue growth over the next couple of quarters and we’re focused on that I would say. We could actually see even better performance there in there as forward estimate. If you look back historically at Seacoast though prior to the crisis period we operated in the mid to high-60s and we want to get back to that level as quickly as possible and I think we want to do that next year. So we’re working hard not just looking at expense cuts but it's an important period right now for us to be as we have said in the last two years to be investing for the growth that is now occurring in our markets and as we do that and achieve higher revenue performance we think we get that number down closer to a number that would have been considered normal if you will for SECO's [ph] prior to the crisis period. So we haven't published any specific targets yet, we have had a lot of moving parts. We’re in the middle of an acquisitions and we think we can get there over the next year.
Operator: The next question comes from Scott Valentin from FBR & Company.
Scott Valentin - FBR & Company: Appreciate the margin guidance for fourth quarter, just trying to kind of parse maybe how much of that is accretable yield versus kind of the core margin?
Dennis Hudson: Just about all of it is core, there is not going to be a great deal of accretable yield in the acquisition. But there will be a little bit but it's not -- I don’t think it's going to be significant, credit marks were fairly normal and modest, that company had a very solid credit portfolio and not a lot of opportunity there to create accretable yield.
Scott Valentin - FBR & Company: Okay. And then just with regard to loan growth obviously the Accelerate program, I think you mentioned 75%, 80% of production is coming from that and that’s new markets, how is the growth I guess you’re taking market share on your markets, do you think? And two, on the legacy side how is that performing relative to previous?
Dennis Hudson: Well the market share we’re taking is very tiny. So it's not like we’re moving the market in those market. Those are very, very deep market as you know, Florida and Orlando where most of that exposure is. If you’re questioning what we’re seeing from a quality standpoint, David, I think it will be fair to say we don’t have any concerns there.
Bill Hahl: We’re very strong on maintaining out structure. Our asset selection and I don’t anticipate any change in the credit metrics because of the growth.
Scott Valentin - FBR & Company: Okay and in terms of I guess your primary competition -- is it other Florida community banks, would you say it's kind of the regionals or how would you say you compete against?
Dennis Hudson: Chuck Cross, regional -- I mean other larger banks right?
Chuck Cross: Yes, I would think we’re stealing from the larger banks but where there are community banks that are still healthy we see them on deals just not every community bank is healthy and bidding on every deal?
Scott Valentin - FBR & Company: Okay and one follow-up question, just in terms of -- obviously that loan growth outlook you guys gave us is very positive. I assume that’s based on the current capacity you’ve or do you anticipate hire additional loan officers and building out the platform further?
Chuck Cross: It is based on the current capacity we have and I think it's fair to say that we have got -- we think where we need to be right now in terms of the investments we have made. When you add on top of that the capacity as it comes from the great team at BankFIRST, you know it gives us additional upside opportunity and that’s frankly what we’re going to be focused on over the next couple of quarters is to integrate that opportunity together with our processes and we think there is some upside there.
Operator: (Operator Instructions). The next question comes from Taylor Brodarick from Guggenheim Securities.
Taylor Brodarick - Guggenheim Securities: I think just two questions from me, I guess one would be I know you’re going to get a little heavier on the C&I platform with BANKshares, Are you trying to actively manage the mix as far as commercial real estate goes or is that just going to be a function of demand and you’re going to underwrite it?
Dennis Hudson: Well we’re always trying to manage the mix to favor all of the things that you know we want to favor but we’re also mindful of the need to improve revenues and that does take you into commercial real estate that I mean just a little color David on how we look at that?
David Houdeshell: We have certainly have to be responsive to what's available in the marketplace. A lot of the commercial real estate is stabilized income properties, we’re starting to see some more activity in the construction again some diversity in that theory book. But we are also seen as Chuck Cross mentioned earlier, four [ph] investment in the C&I businesses and we expect that we will maintain that focus. We’re seeing some nice asset base living type opportunities come and that’s given us confident that that C&I business is out there for the taking.
Chuck Cross: 85% of our lenders are C&I lenders and that’s how we’re trying to build the portfolio.
Taylor Brodarick - Guggenheim Securities: And obviously with Florida improving, do you see like another person mentioned the other deals we have seen in the market. Are there any areas that are getting a little over heated or anything -- it's like you’re having to be more cautious on either product or geographies?
David Houdeshell: No I don’t see any particular segment or geography, we’re seeing some very good growth to the south in the South Florida region as well as several sub-communities there in the Orlando region. So as the overall State of Florida and the immigration continues to improve we’re going to continue to be mindful and cautious but we have also seen nice selective opportunities to expand that loan book.
Operator: And at this moment I'm showing no further questions in queue.
Dennis Hudson: Great. Well thank you all for attending today. We look forward to reporting our progress in our next call in January. Thank you very much.